Operator: Good day, and welcome to the Second Quarter Fiscal Year 2025 Stitch Fix Earnings Call. At this time all participants are in a listen-only mode. After the speaker presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker, Ms. Cherryl Valenzuela, Head of Investor Relations. Please go ahead.
Cherryl Valenzuela: Thank you for joining us today for the Stitch Fix second quarter fiscal 2025 earnings call. With me on the call are Matt Baer, Chief Executive Officer; and David Aufderhaar, Chief Financial Officer. We have posted complete second quarter 2025 financial results in a press release on the quarterly results section of our website, investors.stitchfix.com. A link to the webcast of today's conference call can also be found on our site. On today's call, Matt and David will share their prepared remarks. We will then move to Q&A before concluding with Matt's closing remarks. Before we begin, we would like to remind everyone that we will be making forward-looking statements on this call, which involve risks and uncertainties. Actual results could differ materially from those contemplated by our forward-looking statements. Reported results should not be considered as an indication of future performance. Please review our filings with the SEC for a discussion of the factors that could cause the results to differ, in particular, our press release issued and filed today, as well as the Risk Factors sections of our most recent quarterly report on Form 10-Q previously filed with the SEC. Also, note that the forward-looking statements on this call are based on information available to us as of today's date. We disclaim any obligation to update any forward-looking statements, except as required by law. During this call, we will discuss certain non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are provided in the press release on our Investor Relations website. These non-GAAP measures are not intended to be a substitute for our GAAP results. In the first quarter of fiscal 2024, we began to report our U.K. business, as a discontinued operation. Accordingly, all metrics discussed on today's call represent our continuing operations. Finally, this call in its entirety is being webcast on our Investor Relations website, and a replay of this call will be available on the website shortly. And now let me turn the call over to Matt.
Matt Baer: Thanks, Cherryl, and good afternoon, everyone. Thanks for joining us today. Our team delivered another strong quarter, as we further advanced our transformation strategy. We exceeded our expectations in Q2, with revenue of $312.1 million and adjusted EBITDA of $15.9 million. The team achieved a 710 basis point sequential improvement in year-over-year revenue comps and a contribution margin of 33%, our fourth consecutive quarter above 30%. In addition, both our men's business and our Freestyle channel returned to year-over-year revenue growth. We are encouraged by these results and remain focused on the work ahead to return Stitch Fix to overall revenue growth. Based on our current performance, we are also raising our annual guidance for the current year, which David will detail shortly. We attribute our progress to a number of improvements we've made to reimagine our client experience. These include increasing newer, more on-trend styles in our assortment, expanding fixed flexibility, and strengthening client stylist relationships. In addition, we are investing in Freestyle, our personalized direct e-commerce platform. All of these enhancements are resonating with clients, let me touch on each and the impact we're seeing. First, the investments we've made to improve the quality of our assortment and ensure a healthy inventory position are working. In Q2, we delivered AOV up 9% year-over-year, driven by broad-based strength in keep rate, AUR and items per Fix. We are seeing particular success with new styles. We finished Q2 with keep rates for new inventory up 7% year-over-year. We also continue to leverage our proprietary AI merchandising tool for improved inventory management. As a reminder, this tool utilizes our client transaction and feedback data to predict demand at the individual style and client level, so that our merchandising team can make buying decisions that are more effective and efficient. It also enables our merchants to spend more time on the art of merchandising, including trend identification, vendor partnership and private brand development. Speaking of our private brands, our newest labels, The Commons and Montgomery Post are performing well with The Commons now a top five revenue brand in men's. And styles from national brands such as Vuori, Marine Layer, Roan, Vineyard Vines, Public Rec, Verity, and Pistola continue to resonate with our clients. In terms of category performance, for our women's clients, dresses and denim-led category growth. Denim sales as a percentage of our overall women's business increased from Q2 of last year and within dresses, workwear addresses generated a positive year-over-year sales comp of more than 60%. Meanwhile, the standouts in men's were Cashmere and performance workwear, up year-over-year by over 400% and nearly 150%, respectively. As mentioned, our men's category returned to revenue growth in Q2 and we believe our men's clients have responded well to the enhancements to our assortment into the more precise and segmented marketing we've applied. While a smaller percentage of our portfolio today, we are encouraged by the growth inflection and remain confident men's can be a durable growth engine for us going forward. I will also note that as part of our broader focus on newness, we've expanded our non-apparel categories across lines of business to deliver full outfitting solutions. We have seen favorable results in sneakers, jewelry and accessories, with each category delivering positive revenue comps within the quarter. Second, the enhanced flexibility we are building into our experience has been well received with our clients' response surpassing our initial expectations. Of note, we are seeing increased adoption and greater AOVs with clients embracing the ability to receive up to eight items in a Fix. We believe that offering this increased level of flexibility helps our clients navigate seasonal transitions, outfitting solutions and changes in their Fit profile. And that this change will become an important driver of long-term engagement. Third, deep client stylists connections are an essential part of the highly personalized shopping experience we are known for, and we have made ongoing investments to strengthen those relationships. Since Stitch Fix's inception, we've combined expert stylists with best-in-class algorithms and advanced data science to deliver tailored style recommendations. In Q2, we launched enhancements to our models that deliver better stylist recommendations so that they, in turn, can deliver the right apparel and accessories to each individual client. Our broader investments in these relationships which also include the launch of stylist profiles, so clients can better know who is styling them are resonating. In Q2, the percentage of clients requesting the same stylists for their next fix hit the highest level in nearly five years. I also mentioned that we are continuing to invest in Freestyle, as a complement to our fixed offering. While Fix remains a majority of our business, our healthiest clients are those who utilize both channels. In Q2, we ran dedicated campaigns to drive awareness and consideration of Stitch Fix, as a destination for holiday shopping for the first time. In addition, we adopted more advanced data-driven forecasting tools which expanded our shoppable selection by more than 20% without any increase in inventory ownership. Initiatives such as these contributed to Freestyle returning to year-over-year growth in Q2, and we see more runway to improve future performance. In aggregate, we are seeing the impact of the changes we've made to our experience in our client metrics. We are making progress toward active client growth. Clients new to Stitch Fix increased year-over-year and importantly, Q2 marked our smallest sequential decline in active client count in three years. Since August, when we introduced the first set of changes to our client experience, each monthly cohort we have acquired has spent more than cohorts from the same month in the previous two years, contributing to ongoing strength in 90-day LTV. We are also pleased to see further increases in clients who have enabled recurring shipments. The performance of these cohorts gives us the confidence to invest further in both engaging our existing clients and acquiring new ones. To achieve this, we are building upon our retail therapy brand platform that explores how Stitch Fix helps solve our biggest shopping fit and style challenges people face. We have also optimized our channel-specific media and overall media mix, as well as launch segmented onboarding experiences that speak to distinct needs of different clients. I'd also like to recognize that this earnings call is happening during a time of uncertainty with respect to the macroeconomic environment and, in particular, the impact of tariffs. Our team and partners have a history of managing tariffs well and have confidence will continue to do so. We currently do not expect that tariffs will impact client prices or margins in the second half. We remain focused on our clients, and we will continue to work hard to deliver the best experience and value to them every day. To wrap up, Q2 was a strong quarter and demonstrates the undeniable progress of our transformation strategy. Our team remains focused on execution to unlock our market opportunity, and we believe our recent performance shows we are making the right investments as we look ahead to the growth phase of our transformation. With our expert stylist curated assortment of private and national brands, best-in-class AI and recommendation algorithms and in-depth customer data I believe more than ever that Stitch Fix offers a superior alternative to traditional shopping, and we constantly challenge ourselves on how best to serve our current and prospective clients for all of their apparel and accessories needs so that we are their retailer of choice. I also want to take a moment to recognize the entire Stitch Fix team and thank them for their dedication and hard work in service of this goal. With that, I'll turn the call over to David to share more details of our financial results and outlook.
David Aufderhaar: Thanks, Matt. To reiterate, we are encouraged with the momentum we're building. The team delivered a strong Q2, which gives us greater confidence in a return to overall revenue growth during FY '26. We can see the impact of our transformation strategy across the P&L. Our year-over-year revenue comps continue to improve each quarter. And while they are currently smaller areas of our business, the return to growth in Men's and Freestyle indicates that we are on the right path, we are making the right investments and we have the right team in place to deliver on our commitments. We are applying learnings from the success of these two areas across our entire business. Now let's dive into the results. Q2 net revenue came in at $312.1 million, down 5.5% year-over-year and 2% quarter-over-quarter. Revenue was above our guidance range due to sustained strength in AOV which was up 9% year-over-year and 4% quarter-over-quarter. January was a particularly positive month for us as we were well positioned from an assortment perspective to better meet our clients' apparel needs. As Matt noted, the AOV upside in the quarter was driven by higher keep rate, AUR and items per fix. This contrast with last quarter's growth in AOV, which was primarily due to AUR. This quarter, we saw strength across all three of these AOV drivers. Our AOV has now increased year-over-year for the last 6 quarters, which is encouraging, and we believe there is additional opportunity. On the client side, active clients ended the quarter at $2.4 million, down 16% year-over-year and down 2.6% quarter-over-quarter, in line with our expectations. Return to client growth is a big opportunity and one we're focused on. Though progress may not be linear, and we still have work to do to get there. Within the context of our active client declines, it's important to note that our recent AOV increases could present more challenging revenue growth comps in the future. And that's a factor we're considering as we look ahead to FY '26. Revenue per active client or RPAC for the quarter was $537, up 4% year-over-year and relatively flat on a sequential basis. Gross margin for Q2 came in at 44.5%, up 110 basis points year-over-year, driven primarily by AOV upside and improved product margins. Our contribution margin in Q2 was 33%, our fourth consecutive quarter above our historical range of 25% to 30%. Our warehouse and styling teams continue to drive leverage, and we believe this new cost structure is sustainable going forward. It is because of the great work our teams have done in building and maintaining a strong foundation for our business that we can continue to lean in and invest in areas such as inventory assortment and marketing. In advertising, we came in slightly below our estimated range at 7.8% of revenue in Q2, down 160 basis points quarter-over-quarter. We consistently bring a disciplined ROI lens to our marketing spend and the holiday period tends to be a more expensive time to acquire new clients. With our focus on long-term durable growth, we adjust our ad spend regularly aiming for efficiency and acceptable ROI. We ended Q2 with net inventory of $109.6 million, down 13% year-over-year and down 8% quarter-over-quarter due to our improved inventory management. which as Matt mentioned, is aided by AI tools that help us maintain healthy levels across our assortment to meet client needs and balance risk. Q2 adjusted EBITDA was $15.9 million or 5.1% margin, up 380 basis points year-over-year and up 90 basis points quarter-over-quarter. Free cash flow was negative $19 million in Q2, in line with our expectations. As I said last quarter, we anticipated Q2 would be negative due to the timing of working capital requirements related to inventory purchases. We ended the quarter with $230 million in cash, cash equivalents and investments and no debt. Turning to our outlook. As a result of the strength we saw this quarter, we are raising our annual revenue and EBITDA guidance. Today's update reflects our current expectation that tariffs will not impact client prices or margins in the second half of this fiscal year. We'll continue to monitor the potential impact of tariffs, as well as the increased uncertainty in macroeconomic conditions and consumer sentiment. For full year FY '25, we expect total revenue to be between $1.225 billion and $1.240 billion. We expect total adjusted EBITDA for the year to be between $40 million and $47 million. This guidance still assumes we'll be free cash flow positive for the full year. For Q3, we expect total revenue to be between $311 million and $316 million. We expect Q3 adjusted EBITDA to be between $7 million and $10 million. We expect both Q3 and full year gross margin to be approximately 44% to 45%. And we continue to expect full year advertising to be at the high end of the 8% to 9% range we provided last quarter. In closing, our first half results and second half outlook demonstrate that we are making clear and measurable progress across many areas. We're methodically executing on our strategic priorities with financial discipline and striking a healthy balance by maintaining a lean cost structure and a strong balance sheet, while making disciplined investments that aim to fuel future sustainable, profitable growth. And with that, I will turn the call over to the operator for questions.
Operator: [Operator Instructions] And that will come from the line of Aneesha Sherman with Bernstein. Your line is open.
Aneesha Sherman: Thank you so much for taking my question. Matt and David, I was wondering if you could start by telling us reminding us a little bit about your customer demographics in terms of household income and any other demographic features you think are relevant given the current changes in consumer sentiment across income bands. And then I have a follow-up regarding some of the comments that you've made previously in your presentation around market size, you're under 1% of the total accessible market as you define it in U.S. apparel. Do you think that you need free style in order to expand that TAM? Or do you think there is continued opportunity for expanded TAM with just the fixed model in terms of driving brand awareness and penetration. Thank you so much.
Matt Baer : Aneesha, it's Matt. I appreciate the question. So first, in terms of who our clients are, we really think about our clients from more of an attitudinal or behavioral standpoint. And we see that client base really span across all different levels of household income. And what's really important and noteworthy within our client base, the Stitch Fix and why our core value proposition is built uniquely to serve them. So our clients are coming to us. They are looking for help or advice or solutions or additional convenience when it comes to shopping for apparel and accessories when it comes to understanding what is in style or on trend, when they need help putting together outfits. And one of the things that's really exciting and compelling about the Stitch Fix value proposition is that's the majority of this country. When you look at the data that exists out there, there is a recent article in the Wall Street Journal actually, only about 10% of U.S. consumers are satisfied with the in-store shopping experience for apparel right now. And similarly, and along those lines, about 90% of people feel stressed when deciding either what to buy or what or when they're getting addressed each day. And then stress and anxiety, really coupled with the challenges that they have with the alternative shopping methods is why the core value proposition of Stitch Fix is one that resonates so strongly. We are able to provide the service that we offer, that's what makes it possible for these folks to really find the styles that match their style preferences, that's what enables us to service them within their value proposition. And it's also what enables us to make sure that the apparel that we send them is going to fit and you really compare that against the alternative shopping methods that they have. And those clients, they really don't prefer to spend hours traversing around a department store or trying on clothes in a disheveled or poorly lit dressing room. They're also not interested in browsing endlessly online seeing products that don't match their style preference or it's more expensive than the budget at the time or so cheap to question the authenticity or value of the garment. And then, of course, they do buy online, you're going to get boxes piling up at their house and often very little of that assortment is ultimately going to fit them. We provide a solution for all of that. We make it easy for those folks. And we do that through our deep understanding of each individual client. And that's powered by our AI-driven insights, proprietary algorithms as well as the skills of our -- and the expertise of our human stylists. And in a period in time in which the consumer might be more tight with their discretionary income. We also feel like we have a competitive advantage in that situation. The relationship that our clients have with Stitch Fix is one that's enduring. They come to understand and appreciate the additional convenience and the solution orientation of our service. The fact that we make it really easy for them to get their needs met. We also, through our -- the recurrence of our relationship with them in our business model. It's such that our product ends up at a consumer's home. They get to try it on within their own closets. And they don't -- if they are thinking about reducing a shopping journey, whether that's opening a shopping app or driving to a mall, we basically circumvent that based on the really strong relationship and the recurring shipment dynamic that we have with them. So we feel that we're strategically really well placed to find success even in a tougher consumer environment. I think a lot of that can also be seen by our more recent results. As David noted in his prepared remarks, January was a particularly strong month for us. We continue to see strength in our business performance through February. We continue to see strength in our business performance in March. And I think that should be clearly evident in the significant raise that we had in the full guidance for this fiscal year. So we feel like we're really well positioned to serve clients, no matter what their household income is, no matter what demographic they have because of their compelling value proposition and the unparalleled service that Stitch Fix provides for us -- or provides for clients rather. On the second question, in terms of the role free style and how Freestyle helps us to really address the larger market for us. I think that Freestyle plays a critical role for us and for our clients. It's something that enables our clients to shop in between fixes -- it also enables it is the client, for example, get a polo shirt within their fix and they love how it looks. They love how it feels and the price is right. They can jump right back into the Stitch Fix ecosystem and buy that same polo shirt and multiple colors, which makes, I think, tremendous sense. We also have all of the same leading personalization technologies built into our Freestyle experience. So that when clients after a fixed experience, they can come in if they really like a particular item, they are then able to jump into the freestyle experience and build outfits around that specific item that they kept within their Fix. And since the launch of our style file as well, the individual style persona that every client has -- you also have personalized shopping and tailored to your style file, which clients have really resonated with and have really appreciated since we launched that last year. So the Freestyle business, what it does, it really serves complementary to our fixed experience. It helps us capture greater wallet share for our clients. It helps ensure that when a client any time they have an apparel and accessories need Stitch Fix will be the retailer of choice for them. So as it helps us increase our wallet share with each individual client, it will also help us expand our penetration of the total addressable market.
Aneesha Sherman: Very helpful. Thank you.
Matt Baer : You’re welcome.
Operator: Thank you. One moment for our next question. And that will come from the line of Dana Telsey with Telsey Advisory Group. Your line is open.
Dana Telsey: Hi, good afternoon everyone. As you think about the dynamic world of tariffs that we're in, how are you thinking of that impact on your pricing and own brand versus national brands? And then as you've expanded the number of brands that you carry, what categories are you seeing that are performing? What categories are being adjusted. Thank you.
Matt Baer : Alright. Hi, Dana, I appreciate the questions. The first question really around tariffs, I think the second in terms of the mix within our different brand portfolios and then also in terms of the category penetration that we are seeing. I think we talked about it a little bit in the prepared remarks and happy to share a little bit more details in terms of how we're approaching the current environment with the reality of tariffs and the continued kind of volatility of what tariffs might be in the future. So we have a tariff task force in place. This is a team of folks that have a proven track record of doing a really good job mitigating the impact of tariffs previously. And they put together, I think, a really good tariff mitigation strategy that will enable us to protect the profitability within our private brands. Our private brand portfolio consists of several vendors, many of those vendors have production across multiple countries. It gives us optionality to be very strategic if necessary, in order to reduce what would be a longer-term financial impact from tariffs. It's a bit of an overlap with the second part of your question, but as a multi-brand retailer, we also really benefit from the vast matrix of national and market brands in addition to our private brands. So if necessary, in order again to mitigate any potential impact from tariffs, we are able to shift within that portfolio or within that matrix of brands, I think, really strategically as well. And I think, ultimately, I'll just reiterate what we said in the prepared remarks, that as we are looking at the balance of this fiscal year, we're not currently anticipating any impact to our margin or any required increase in cost-client facing. And I think that gives us a really nice competitive advantage relative to the position that others might find themselves in this situation and credit to the team for the really sound strategy and the execution of that. When it comes to the matrix between our national brands and our private brands, we've talked about this before. I appreciate the question because it is really important, I think, for us to reiterate, we're going to continue to be client-led. We're going to continue to focus on what client demand is telling us. And that will help us determine what is that right balance between private brands and national brands. We have a really strong portfolio of private brands. As noted in the prepared remarks, we've recently launched two new private brands that are resonating really well with our clients. It was awesome to see the comments pop up to be one of the top brands in our entire men's portfolio after launching so recently. And I think we are going to continue to find success as we continue to invest in the value proposition within those private brands. If you recall some of the conversations that we were having last fiscal year and even earlier, we did a lot of work earlier in my tenure to really edit within our overall assortment to make sure that the national brands we are carrying are ones that add incremental value and differentiated us, both with our clients and differentiated us from what we were already offering with our private brand portfolio, that great work from our merchant organization is what's enabled us now to go back out into the market and to reinvest and to bring in new national brands that are highly coveted within the consumers that we're serving today. And that's really strengthened our overall assortment metrics I believe that investment in newness across our assortment that recalibration of where we sit within the style and trend spectrum, has really helped us drive a lot of the success that we've been speaking to in terms of keep rate and AOV and our items per Fix. And we are going to continue to lean in there. It's really critical that it's an apparel and accessories retailer. We are standing behind all of the assortment that we are bringing in and all of that assortment plays a really important role within the overall matrix of it. And then I think the final piece in terms of categories, we've always and historically been really -- do a really good job in our tops and bottoms business. And we continue to invest there, and we continue to maintain our market share within those categories. What I love about how our merchant team has responded to the challenge, particularly over the last 9 months is how do we continue to lean in and ensure that we're capturing our fair share in all of our other categories. So we've seen a lot of success across the board as we're looking to building out additional categories and growing our market share and capturing the wallet share to consumer level within each of them. One thing that I will note and has been a continued focus, as mentioned in the prepared remarks, is our particular emphasis within the non-apparel categories. It's great to see sneakers and accessories become growing categories for us, and we'll continue to invest in that. The other thing that I believe is really important when you're thinking about our category expansion and deepening our market share within each category, is the continued penetration and adoption of the flexibility that we've built within our fixed experience. Consumers and our clients absolutely love that we're allowing them to choose six, seven or eight items within a particular Fix. Every time we look at the data, the adoption rate continues to exceed our updated expectations. And in a really exciting way too, we continue to see even better order economics, the more items that a client is selecting within their fix. And that's what gives us that ability to really lean into that category expansion and ensure that into new categories, doesn't in any way, cannibalize the historical success that we've had in tops and bottoms. So category expansion will be a key driver of our wallet share expansion and our market share expansion as we return to growth.
David Aufderhaar : And Dana, I would just add really quickly that when we look at that expansion, we look at those investments, it is also really encouraging to know that we can do that and still maintain the gross margins that we have and that we guided to in our prepared remarks, still being in the back half of the year, from a full year perspective in the 44% to 45% and still having really healthy contribution margins. We had 33% this quarter, and we believe that, that's sustainable going forward. And so just really encouraged with the leverage that we are driving the business to allow those investments as well.
Dana Telsey: Thank you.
Operator: Thank you. And that will come from the line of Jay Sole with UBS. Your line is open.
Unidentified Analyst: This is [indiscernible] on behalf of Jay. Congrats on a nice quarter. My first question is on gross margins. Just wondering if you have any outlook for 3Q, right? In 2Q, it looks like gross margins expanded about 105 basis points. So I was just wondering what were some of the drivers of that? And similarly, do you have -- like what are you expecting to drive gross margin expansion or contraction in 3Q.
David Aufderhaar : Yes, Serge thanks for the question. In Q2, it was really more about typical seasonality in gross margin, we tend to see a quarter-over-quarter decline between Q1 and Q2. Certainly, promotions play a part in that. But we're still very comfortable with the 44% to 45% that we have for the full year guide. And I think thinking about the back half, I would still think about the back half in that same range.
Unidentified Analyst: Got it. Got it. And then just one more quick one, if I can. You briefly mentioned that March was strong, but just wondering if you can give any more color on sort of quarter-to-date trends. anything you are seeing in February and March? Is it similar to what you were seeing in 2Q? Is it a little stronger?
Matt Baer: Yes. Maybe I'll jump in at a very high level. And David, if you want to follow up with a little bit of detail. It's nice to chat again. Look, I mean we're just incredibly encouraged by the momentum that we are seeing. We were really encouraged by the results that we had in Q2 that exceeded our expectations. And the initial response I think based on the very significant increase in our guidance over the back half of the year, we're looking to see that momentum, not just continue, but also accelerate over time, which I think is just a really good way to be thinking about what that performance was in February and what we've seen March to-date. The piece that I think is also maybe worth just reiterating a bit from the prepared remarks, I shared that since August, when we both launched the rebrand of Stitch Fix, as well as the first set of changes around our client experience or the reimagination of that client experience. We just continue to see tremendous success with all of the clients that we have been acquiring over that period of time. And normally, when you launch a rebrand and you launch so many net new updates to your client experience, often, you actually see a bit of a short-term setback in your performance metrics. And then often also some initiatives will take root and perform while others might not take route or might not perform to expectations. I think in credit to the team for having the right strategy and credit to the team for really great execution of that strategy. Since that moment in August, nearly every initiative that we've introduced as part of that reimagination of the client experience has performed well. And nearly every initiative has also exceeded our expectations. And that performance is what enabled us to achieve year-over-year revenue growth in men's. That is what has enabled us to achieve year-over-year revenue growth in our free style channel. And although not noted in the prepared remarks, I think also really important to share, that's also what enabled us to drive significant improvement in trend in our women's business, and it's also what enabled us to drive significant improvement in trend within the Fix channel. So I think, ultimately, we've really focused on strengthening the foundation of our business and instituting retail best practices across the board. And now with the reimagination of the client experience layered on top of that, we are really starting to see that outsized improvement in trend in our business overall. And we expect that momentum to continue. And as I noted, I believe that should be quite evident in the raised guidance that we shared for the balance of the fiscal year.
David Aufderhaar : Yes. And Serge, just to add a little bit more detail around some of the numbers. For this quarter, we saw a 9% year-over-year increase in fixed AOV, and that was a big part of the outperformance and certainly the performance versus expectations. And there were a couple of things going on there. First, we saw higher-than-expected adoption of that Flex Fix offering, which increases the average number of items sent in a Fix. Fixes with that extra flexibility increase as a percentage of total fixes by almost 40% from the end of Q1 to the end of Q2. Second, we also saw higher-than-expected keep rate in the quarter. Historically, we've seen a pretty significant decline in keep rate coming out of the holidays. But the teams, the merchandising teams, the technology teams, the styling teams really took a number of actions to make sure that improved this year, and we saw that come through and we saw it build throughout the quarter. a stat just to sort of show that build is AOV in January was 16% year-over-year. And so just a really strong quarter. And to Matt's point, we played forward some of that AOV upside and also some of the volume benefits we've been seeing recently and played that forward in our overall guidance for the year. The other thing I would call out is sort of the active client side. We're definitely encouraged with what we're seeing from active client standpoint. And when you play that out into future quarters, for Q3, we expect active clients to be down quarter-over-quarter, but improving from last quarter. So roughly sort of approximately about 1% down quarter-over-quarter. The only call out there is there is seasonality to active clients as well. And so Q3 tends to be a stronger quarter than Q4 for us. And so because of that, we probably expect Q4 to be down slightly more quarter-over-quarter than Q3, but still much better than what we saw last year.
Operator: Thank you. One moment for our next question. And that will come from the line of Dylan Carden with William Blair. Your line is open.
Dylan Carden : Thanks. Maybe, David, just following from that line of thought. The comments that AOV go forward might present kind of a headwind to growth. Can you just unpack that a little bit? Thanks.
David Aufderhaar : Yes, definitely. Thanks for the question, Dylan. I mean basically, AOV has been a really strong thing for us. AOV has been up six quarters in a row. And really, as you start comping that, and if you think about the two-year stacks, I mean, in Q2, this quarter, it was 9% of this Q2. Last Q2 was up 4%. So that's a 13% stacked comp over the last two years. And so what I was alluding to is with those increases, certainly comping that going to next year just creates a little bit more of a challenge. And certainly, in the environment that we just described around active clients as well, active clients we do expect active clients to continue to decline into FY '26. And that, along with sort of harder comps from an AOV perspective, are just things that we're certainly taking into account as we start looking at FY '26.
Dylan Carden: Got it. And so I guess the flip side of that is that the growth that you're kind of forecasting at some point next fiscal year is more of an active client growth story then and kind of continuing to push on spend per?
David Aufderhaar : I think we've actually talked about this the last couple of quarters is I think we have opportunity in both areas. And certainly, what we are seeing right now is strength in existing client engagement. And really offering them a lot more value and different ways to engage. And so we've been seeing that. But I think what we've said historically is that we really want to see both to talk about long-term sustainable growth. So I think there is a path to growth without that inflection active clients. But certainly, when you have both, that's when you get to that sustainable long-term growth that we're really driving towards.
Dylan Carden: Got it. Thank you both.
Operator: Thank you. I'm showing no further questions in the queue at this time. I would now like to turn the call back over to Matt Baer for any closing remarks.
Matt Baer : Okay. Thank you. To recap, I think I just want to reiterate how encouraged I am by our recent results. For the second quarter, we exceeded our expectations for both revenue and adjusted EBITDA and we also raised our full year outlook for both metrics. And that momentum that we're seeing in our business, that momentum is undeniable. The improvements our team has made to our client experience are clearly resonating. We are getting great feedback from our clients on these changes, and our clients are telling us that we are increasingly delivering on our mission. The mission to help them discover the styles they will love it fit perfectly, so they always look and feel their best. Importantly, we're also making progress toward active client growth, and we've already returned top-line revenue growth in both our men's business and our Freestyle channel. And all this progress wouldn't be possible without our team, and the team continues to build a stronger operational foundation for our business to grow upon. That foundation will enable us to scale and move towards the growth phase of our transformation. I continue to believe that a judicious and disciplined transformation is one that will lead to profitable and sustainable growth in the future. Given Stitch Fix's compelling value proposition, which we just discussed, the innate strengths of the business model and all that we've accomplished in the first half of fiscal 2025. And I'm more confident than ever in Stitch Fix's future and our ability to be the retailer of choice for an expanded base of clients. We very much appreciate your interest in Stitch Fix and look forward to sharing our continued progress with you on our next call.
Operator: Thank you for participating in today's conference. This does conclude the program. You may all disconnect. Have a great day.